Operator: Good morning, everyone, and welcome to the Westgold Resources Q1 FY '26 Quarterly Results Investor Update Webcast. Your first speaker for today is Wayne Bramwell, Managing Director and CEO. I'll now hand you over to Wayne.
Wayne Bramwell: Thank you, Shane, and welcome, everyone, joining us today. On the call today, I have Aaron Rankine, our Chief Operating Officer; and Tommy Heng, our Chief Financial Officer. Today, I'll provide a quick overview of the Q1 FY '26 results. After that, Aaron and Tommy will each share an overview of their areas, and then we'll open the webinar up for questions. Let's jump straight in. Slide 4. Q1 marks a strong start to the new financial year. We delivered 83,937 ounces of gold at an all-in sustaining cost of $2,861 an ounce. which is in line with our guidance. Importantly, we generated an underlying cash build of $180 million and closed the quarter with $472 million in cash, bullion and liquid investments. This quarter also saw the release of our 3-year outlook, which outlines a clear pathway to 470,000 ounces of annual production by FY '28, while reducing our cost profile. This outlook is supported by a 24% increase in mineral resources to 16.3 million ounces and a 5% increase in ore reserves to 3.5 million ounces, reinforcing the long-term strength of our portfolio. Key to our value proposition is increasing returns to our shareholders. During the quarter, we declared a $0.03 per share final dividend for FY '25, upgraded our dividend policy for FY '26 and launched a 5% on-market share buyback program. All in all, Q1 FY '26 sets a solid foundation for the year ahead. With strong financials, growing reserves and a clear growth strategy, Westgold is well positioned to deliver its organic growth plans. Let's move to the next slide, Slide 5. Our total recordable injury frequency rate, TRIFR, improved to 5.04 this quarter, down from 5.67 in the previous quarter. This is a positive step and reflects the continued focus across our sites on embedding safer work practices and improving hazard awareness. Slide 6. We are building momentum. We've now delivered 3 consecutive quarters of cash builds, culminating in a $108 million increase this quarter for a total of $472 million in cash, bullion and liquid investments. Slide 7, FY '26 guidance maintained. We're off to a solid start in FY '26 with 83,937 ounces produced at an ASIC of $2,861 an ounce, both in line with guidance. As we flagged within our guidance, production is back ended in FY '26, and we're well poised to ramp up in H2 as planned. Slide 8. Resource and reserves continue to grow. During the quarter, we released updated resources and reserve statement. Encouragingly, we've again built upon our mineral resource base, growing it to 16.3 million ounces and lifting ore reserves to 3.5 million ounces. representing a 24% and 5% growth, respectively, over the last 12 months after depletion. Slide 9, the 3-year outlook. This quarter, we released our 3-year outlook, a high confidence, executable plan that sees Westgold grow from 326,000 ounces in FY '25 to 470,000 ounces by FY '28, while reducing our all-in sustaining cost to circa $2,500 an ounce. Importantly, this growth is organic and fully funded, underpinned by our existing portfolio of assets, 3.5 million ounces in ore reserves and circa 6 million tonnes per annum of processing capacity. Key, we're not relying on new discoveries or external deals. This is about maximizing performance from what we already have, higher-grade ore, better infrastructure and smarter capital allocation. We've built the foundation. Now we're focused on consistent execution. Slide 10. The 3-year outlook sets the baseline for what we're aiming to achieve, but it's important to note that there's plenty of upside not included in the plan. I won't go through all those listed on the slide here, but some key opportunities we're actively progressing to bring value forward include Bluebird South Junction Underground. The 3-year outlook assumes we reach 1.2 million tonnes per annum by FY '28, but we are targeting this rate by the start of FY '27. Higginsville mill expansion beyond 2.6 million tonnes per annum. Feasibility study work includes options up to 4 million tonnes per annum of capacity and also operational improvements. We have made substantial gains in this space, which have not been baked into the plan and is becoming more operationally efficient is a key focus during FY '26. These represent material upsides to our base case and reinforce the strength and flexibility of our portfolio. With that, I'll hand over to Aaron to talk in more detail about operations.
Aaron Rankine: Thank you, Wayne, and welcome to all on the call today. Slide 13. Q1 was a quarter of planned consolidation, setting the foundations to accelerate production. Key milestones in the quarter include updated mine design and commencement of paste fill at Bluebird South Junction, completion of infrastructure upgrades at Beta Hunt, completion of scheduled processing maintenance shuts at all plants and first ore from the Crown Prince OPA. Whilst our production quarter-on-quarter was marginally down, we delivered to our plan. And it should be noted that whilst this was a consolidating quarter, it was the second highest gold production in the history of Westgold. Looking ahead, we see clear tangible opportunities to drive our production up and cost down with continued improvement in operational performance, the introduction of higher-grade Great Fingall ore, continued ramp-up at Blue Bird South Junction and optimizing Beta Hunt on the back of the improved infrastructure. Slide 14. Slide 14 gives us a closer look at the Murchison, where we produced 53,140 ounces, about 1,700 ounces lower than the last quarter. All 3 Murchison plants had major shuts scheduled in Q1, which was the main driver for the quarter-on-quarter reduction. The mining of slightly lower grade areas compared to Q4 also contributed to Fortnum's lower production in Q1. At the Bluebird South Junction mine, part of the Meekatharra Hub, we implemented paste fill and ramped up development of the finalized mine design on which I'll provide more detail on the next slide. This resulted in reduced mine tonnes compared to the prior quarter. This was, however, offset by higher grades from the mine, which contributed to a modest quarter-on-quarter improvement from the hub. The other contributor to improved production at Meekatharra was the early commencement of ore from Crown Prince via the ore purchase agreement with NMG. We had anticipated first ore from Crown Prince in November. However, we received 33,000 tonnes in September, of which we processed 24,000 tonnes during the quarter at 3.5 grams for 2,601 ounces. This had around a $13 million impact on our all-in sustaining costs. At Great Fingall, [indiscernible] mobilized seamlessly in September, and we're on track to deliver the first ore from virgin stopes in Q2. The total AISC for the Murchison was $163 million, about $25 million higher than the prior quarter. This cost increase was due mainly to the OPA and higher processing maintenance costs as part of the planned shutdown. Slide 15. Now I'd like to cover Bluebird South Junction in some more detail. Some great work has been done by our engineering teams to create the updated mine design you see on the slide for South Junction Zone. The new design mitigates the ground control issues that have delayed development to date, whilst enabling the productivity benefits of transverse mining by creating up to 10 active work areas per level and enabling continuous mining in the levels with segregation from paste fill exclusion zones. Paste filling for the South Junction zone has commenced without a hitch. Introducing paste supports large, highly productive stope shapes and allows full extraction of the South Junction ore body. Whilst the commencement had short-term impacts in Q1, we will start to see the benefits as production ramps up over the financial year. Let's jump to the Southern Gold Fields. Slide 18 summarizes the performance of our Southern Gold Fields operations. Production performance was consistent quarter-on-quarter on a mine-by-mine basis. We produced 30,797 ounces for the quarter. Whilst 2,400 ounces lower than the prior quarter, the main contributor for this was the opportunistic take-up of additional Lakewood tolling in Q4. 61,000 tonnes of stockpile were built in the Southern Gold Fields in the quarter. The stockpile buildup and a onetime noncash adjustment in relation to the Karora transaction resulted in a lower total all-in sustaining cost quarter-on-quarter. Critical for the outlook at Beta Hunt, several key infrastructure projects are now complete. These upgrades will nearly double the ventilation flows when operated at full capacity, circulate freshwater in and out of the mine and provide consistent and reliable power, supporting the mine production ramp-up toward a run rate of more than 2 million tonnes per annum. With that, I'll hand over to Tommy to talk to the financials.
Su Heng: Thanks, Aaron, and hello to everyone on the call today. On to Slide 21. This slide quickly summarizes the strength of our financial performance in Q1 FY '26. We delivered a strong net mine cash flow of $133 million in the quarter, which can be characterized as one of consolidation and setup. This was driven by a combination of solid gold production and a realized gold price of $5,296 per ounce, which was $2,435 per ounce above our all-in sustaining cost of $2,861 per ounce. The gold sold figure of 94,913 ounces and therefore, monetizing the bullion buildup we had due to the timing of gold sales in the prior quarter. Westgold remains fully unhedged, giving us full exposure to the rising gold price. We closed the quarter with $472 million in cash. During the quarter, a $200 million credit facility we established back in October last year expired, leaving us with $100 million credit facility remaining, of which $50 million remains drawn. This positions us exceptionally well to fund growth, absorb volatility and continue delivering strong returns to shareholders. On to the cash flow waterfall graph on Slide 22. We built $108 million in cash, bullion and liquid investments this quarter, closing with $472 million on hand. Underlying cash build was $180 million before growth and exploration spend. This was driven by positive operating cash flows and supported by strong margins. On capital allocation, we invested $60 million on nonsustaining capital, comprising $39 million in growth projects, primarily at Blue Bird, South Junction and Great Fingall and a further $21 million in plant and equipment upgrades across the portfolio. These investments are aligned with our strategy to lift mine productivity and reducing our operating cost base. We continued our investment in exploration and resource definition, investing $12 million over the quarter. Overall, we're in a strong position. Our balance sheet is robust. Our investments are targeted, and we're well funded to execute our growth strategy. Slide 23. Before I hand back to Wayne to wrap up, I would like to touch on the shareholder returns. Westgold continues to deliver on its commitment to shareholder returns. We declared a $0.03 per share final dividend for FY '25 and have upgraded our dividend policy for FY '26 to reflect our growing confidence in the business. In addition, we launched a 5% on-market share buyback program, a clear signal of our belief in the value of our shares and our disciplined approach to capital management. These initiatives are underpinned by strong cash generation and robust balance sheet, positioning us to continue rewarding shareholders while investing in growth. With that, I'll hand back to Wayne.
Wayne Bramwell: Thank you, Tommy. Let's jump to Slide 25, divesting noncore assets. Westgold's strategy is to focus on our larger operating assets. Consistent with this plan, this quarter, we commenced the divestment process of our noncore Peak Hill, Mt Henry Celine and Chalice assets, all of which do not feature in the 3-year outlook or longer-term production plans. Slide 26. Q1 was a solid start to FY '26. In the Murchison, our Meekatharra Hub continues to produce cash as grades lift from the Bluebird South Junction underground and Crown Prince open pits. In the Southern Gold Fields, the key mine infrastructure upgrades are complete, setting the Beta Hunt mine up for higher outputs from Q2 onwards. Importantly, we built cash again this quarter, closing the quarter with $472 million in cash, bullion and liquid investments. With that, I will close the formal presentation and open the webinar up for questions.
Operator: Thank you, Wayne. [Operator Instructions]. Your first question, Wayne, comes from Kyle, and it is what triggers the buybacks to kick in?
Wayne Bramwell: Thanks for that, Kyle. This facility, the share buyback facility was set up last quarter. But for the large part of it, we were in blackout periods and couldn't buy the stock. We have a view of value in this business. And once the price gets to under that value, we'll buy.
Operator: Next question comes from Larry. Wayne and team, can I understand Lakewood's tolling better? Is it 50 kilotonnes per annum per quarter as you mine 87 kilotonnes per annum more than processed? So will this present as a potential risk being short mill capacity as Beta Hunt ramps up?
Aaron Rankine: Aaron here. So yes, with Lakewood, the locked-in tolling capacity is 50,000 tonnes a quarter. In Q4, we opportunistically took up a gap in the Lakewood schedule that Black Cat offered us. So 50,000 tonnes a quarter going forward. In terms of mill capacity, no, we're basically set up in our mine plans and milling capacity to be able to build a stockpile, and that's what we've considered in our guidance.
Operator: There's no further questions at this time. So if you'd like to make any concluding remarks.
Wayne Bramwell: Just in closing, I would like to make one statement. the cash don't lie. We built cash again this quarter, and this is the third quarter in a row past sort of the integration of the Karora assets that we've done that. The business is gaining momentum. We've started to see an inflection point at Meekatharra. And now with the capital projects completed at Beta Hunt, we expect the outputs from the Southern Gold Fields to lift. Thanks for everyone for patching in today. We're back to work.